Operator: Good morning, and welcome to Cablevisión Holdings Conference Call. My name is Andrea, and I will be your conference operator today. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions]. Today we will discuss Cablevisión Holdings First Quarter 2024 results. This call is for investors and analysts only. Therefore, questions from the media will not be taken at this time. However, if you are a member of the media and have questions, please contact FIG Corporate Communications following the call. I will now introduce our speakers, Mrs. Samantha Olivieri, Head of Investor Relations and additionally, Mr. Ignacio Driollet, Executive Director and Chairman, who will also be available for today's Q&A session. The team will be discussing the results as per the earnings release distributed last Friday, May 10th. If you have not received the report or need any assistance during today's call, please contact FIG Corporate Communications in New York at 917-691-4047 or the company in Buenos Aires at 5411-4309-3417. Cablevisión Holding has also posted the webcast presentation that can be found at www.cablevisionholding.com/investors. Comments made by management may contain forward-looking statements about Cablevisión Holding's future performance, plans, strategies and targets. Such statements are subject to uncertainties that could cause Cablevisión Holding's actual results and operations to differ materially. Such uncertainties include, but are not limited to, the effects of the impact of new or ongoing industry and economic regulations, possible changes in demand for Cablevisión Holding's product and services, and the effects of more general factors, such as changes in general market, economic or in regulatory conditions. Please refer to the disclaimer in the earnings report or presentation for additional information regarding forward-looking statements. It is now my pleasure to turn the call over to Ms. Samantha Oliveri. Please go ahead.
Samantha Olivieri: Thank you, Andrea. Good morning, everyone, and thank you for joining us. Today's call will begin with a brief macro overview and continue with a review of the company's income statements and operating results, followed by a review of the financial position. Having gone through the agenda for today's webcast please move to slide 4 for the macro overview. As we mentioned in the previous call in its first few days in office, the new administration proposed an economical program of controlled shock. It's declared objective to simultaneously attack several fronts amongst them the fiscal deficit, the correction of relative prices mainly official exchange rate and utility tariffs and the Central Bank's balance sheet by both recomposing the international reserves and diluting the remunerated liabilities of the monetary authority. With about a little over five months into the current administration, results are better than expected. However, the process of correcting the multiple imbalances inherited by the government is costly in terms of activity level and employment, although for the time being not on the government's popularity. The jump in inflation derived from correcting the distortion of most of the relative prices crumble the purchasing power of salaries and income. Several sectors of economy such as industry, auto and construction registered average drops of around 20% to 25% in the first quarter of the year, while key consumption indicators such as retail sales, supermarkets and shopping centers also registered similar result [ph]. Going forward, expectations are placed on whether the inflation will continue its deceleration trend and a recovery of salaries purchasing power and, therefore, of consumption and activity will occur during the second half of the year. The degree of social tolerance to the unprecedented adjustment underway proposed by this administration still represents a question mark as does the governability moving forward. Slide 6 shows the key financials for the first quarter. The company has reflected the effects of inflation adjustment adopted by Resolution 777/18 of the Comisión Nacional de Valores, CNV, which establishes the reexpression of figures must be applied to the annual financial statements for intermediate and special periods ended as of and including December 31, 2018. Accordingly the reported figures corresponding to the first quarter of 2024 include the effects of the adoption of inflationary accounting in accordance with International Accounting Standard 29. For comparative purposes, the results restated by inflation corresponding to March 2023, contain the effect of year-over-year inflation as of March 2024, which amounted to 287.9%. In this presentation, we include some figures and historical values for the sake of clarity. CVH owns 39.08 state in TL and its controlling shareholder Telecom Argentina, it consolidates 100% of its operations. Revenues in nominal terms increased 207%. In constant currency, revenues for the first quarter '24 dropped 17.9% from ARS 833.2 billion to ARS 683.9 billion, mainly driven by lower service revenues. Increasingly higher inflation is challenging to fully pass through to prices for our services. The main source of our revenues is our fixed infrastructure. Broadband Pay TV and fixed telephony and data services amounted to 53.5% of the total, mobile service participation decreased slightly, reaching 40.7% from 40.8% in first quarter '23, driven by lower ARPU in real terms, given the competitive dynamic of the industry and the migration from postpaid to prepaid subs in the customer base with an increase in mobile subs. EBITDA reached approximately ARS 206.7 billion in constant currency, a 17.8% decrease compared to first quarter '23, driven by lower revenues partially offset by lower operating costs. EBITDA margin reached 30.2% similar to the level of the same period of the previous year. EBITDA in nominal pesos amounted to ARS 201.3 billion, 228% higher than the nominal EBITDA for the first quarter of '23, while average inflation for the same period was approximately 273.5% and the end of period year-over-year inflation amounted to 287.9%. Net income resulted in a profit of ARS 773.8 billion from ARS 109.3 billion reported during the first quarter '23. The increase in net income is mainly explained by financial net results as the variation of the parity between the official exchange rate and the US dollar was lower than the inflation for the period resulting in positive foreign exchange results partly offset by income tax. The equity shareholders' net income for the period amounted to ARS 261.5 billion and is mainly the result of CVH's stake in telecom. Now, let's move on to Slide 7. Mobile revenues represented approximately 40.7% of our revenues and decreased 18.1% in real terms when comparing first quarter '24 to first quarter '23, which is mainly explained by lower ARPU in a highly competitive environment and a change in the prepaid and postpaid mix, partially offset by an increase in subs. Personal Argentina clients increased 3.3% to 21.2 million of which postpaid clients amounted to 39%. Mobile Internet usage increased reaching an average of 6.8 gigabytes per user, per month in first quarter of '24. In Argentina, ARPU restated in constant currency decreased by 23.6% to ARS 3872 in first quarter '24 and monthly churn decreased 1.5% from 1.7% in first quarter '23. Currently more than 45% of Telecom's broadband customers have a mobile bundle. Since the rollout of the strategic CapEx plan and the convergent offer, the company has turned around its trend of negative portability net addition in Argentina and has been increasing the number of subs over the last six years, even in highly competitive market. Telecom's CapEx deployment has also allowed it to obtain the award for the fastest 4G network in Argentina from Ookla at the 2024 Mobile World Congress in Barcelona for the fifth year in a row. Please turn to Slide 8. Revenues for fixed services including broadband cable TV and fixed telephony and data services decreased by 50.4% in real terms, mainly driven by the challenging inflationary dynamics. Legacy copper fixed voice service continues experiencing a reduction in accesses, partially offset by an increase in IP telephony lines. Data services are agreed in US dollars, offsetting the decrease in legacy telephony revenues. On the business-to-business services, Telecom strategy is to position itself as an integrated service provider for large customers by offering convergent ICT solutions, including fixed voice, mobile -- fixed and mobile voice data, Internet, multimedia, data center and application services through sales, consulting, management and specialized and targeted post-sale consumer services. Broadband subscribers remained stable at 4.1 million, while monthly churn dropped to 1.5% in first quarter 2024 from 1.7% in first quarter 2023. Nonetheless, there is growth in the fiber-to-the-home segment include resulting in an increase of average speeds. 85% of our customers have accesses with speeds of 100 megabytes or higher versus 81% in first quarter 2023. ARPU in real terms decreased to approximately ARS 12,733.2. Price increases during 2023 and first quarter 2024 and higher Internet speeds sold to our customer base were not enough to fully offset the inflation. It should also be noted that due to our cross-selling strategy, fixed products have been offered with some discounts to encourage the positive mobile affordability. Moving to the table TV subscribers. The customer base decreased to 3.3 million following industry trends, while Flow unique customers achieved 1.5 million, a 12.4% increase from figures observed over a year ago. For its proposal of contact aggregator, Flow includes not only linear TV, series, on-demand movies, documentaries and co-productions but also music, gaming and exclusive events. ARPU in real terms decreased by 37.5% to ARS 9,041 during first quarter 2024 and monthly churn stood at 1.8%. Please turn to Slide 9. In August 2020, the Argentine government issued Decree 690/2020, later confirmed by the Congress declaring mobile fixed voice, broadband and pay TV as public essential services and freezing their prices until the end of 2020, while instating ENACOM as a regulatory agency in charge of enforcing the decree and regulating the industry prices. Its legality has been challenged in the court by the industry in general. In 2021, Telecom was granted a preliminary injunction suspending the effects of several sections of the decree, which have been extended several times and is currently effect. In addition, during November 2023, Telecom was notified of a favorable first instance ruling, declaring the annuity of such decree. Finally, by Decree 302/24 issued on April 9 this year, the executive office repealed Decree 690/2020. The company has been trying to offset the inflation impact on revenues and costs, but with the increasingly high inflation dynamic over the last two years and the stress price increases generated on the subscriber base, recovering terrain is a challenge. Year-over-year inflation as of March 31, 2024, amounted to 287.9%, while inflation average for the same period was 273.5%. During 2023, given the increase in inflation, our subsidiary, Telecom, increased prices of its services with greater frequency and continues with policy during 2024. In response to the increasingly complex inflationary dynamic, again, increasing prices on a monthly basis, which has allowed it to close the gap between inflation and ARPUs. In parallel, it has undertaken retention actions mainly granting distance to its clients. These `price increases have resulted in higher ARPU in nominal terms across all services as shown in Exhibit 15 to 18. The normal price increases coupled with certain discounts and promotions to retain customers following these rises, in a strong competitive environment were not enough to offset the internal inflation thus resulting in lower revenues when measured in constant pesos versus first quarter 2023. The company will continue to monitor its cost structure, competitive environment, client behavior and household income in order to decide on future price increases to help compensate for inflation and maintain sustainability. Let's move to Slide 10, for a discussion of cost structure, before we discuss quarter-over-quarter EBITDA performance. Among the most significant operating costs and expenses are salaries, fees for services maintenance materials and supply costs and taxes and fees with the regulatory authority. On Slide 11, we show the performance of EBITDA and the behavior of different components of revenues and costs. The company continues with its cost management efforts and has shown positive results despite a challenging economic context. Operating costs excluding cost of equipment and handsets decreased in real terms 16.5%. Most of the company's cost components decreased in real terms, reflecting efficiencies achieved by the company's management in terms of costs. Total operating cost decreased 18% in real terms, higher than the reduction in revenues. Thus, although, EBITDA decreased by 17.8% in real terms, margin increased slightly to 30.2% a similar level to the level for the same period of previous year. Next slide please. It is worth mentioning that even in the challenging macro environment, this is the fourth quarter with a positive margin performance since the first quarter of 2021, reflecting efficiencies achieved in terms of costs and the pricing policy executed to tackle the increasing inflation. Slide 13 please. The first quarter 2024 investments as a percentage of revenues was 21.3% or 15.3% before rights of use from leases, higher than the same period of the previous year. Investments decreased 8.6% year-over-year. The CapEx plan is flexible and the company has been investing above the global average of CapEx to revenues during the previous years in order to achieve its goals in terms of network performance and coverage which is currently strong. Technical CapEx was mainly allocated to network and technology and Customer Premises Equipment or CPE. The balance was allocated in our international operations in Paraguay and Uruguay. During the last quarter the company continued with the deployment and upgrading of existing sites and expansion of the Fiber-To-The-Home network, including the overlay over the HFC network. Following the frequency auction in 2023 it has over 105 key sites working on the newly acquired 3.5 gigahertz span. The CapEx program will continue evolving according to Argentina's economic condition, network performance and customers' requirements. Going to the debt financial position as for Slide 15, as of March 2024, we have reported a total financial debt of ARS2,446 billion and a net debt of ARS1,973.4 billion equivalent to US$2.3 billion. The year-over-year increase of total debt measured in constant pesos is mainly explained by the debt for acquisition of Spectrum, additional debt to subscribe both Broadbands in order to settle commercial debt generated by the restrictions in access to the FX market with the best administration and the jump in the FX rate which surpass inflation for the same period. While canceling 2023 cross-border maturities, the company continued accessing the local capital markets to attend its financing needs. This trend is expected to continue during this year. 100% of the debt is at operating level in Telecom Argentina. Of the total debt, 52% is cross-border dollar-denominated, 40.6% is in Argentine pesos including dollar-linked to local emissions and the rest is in guarani and renminbi. Telecom has been accessing the local market for its financing needs tackling the increase in interest rates and reducing cross-border risk. In an exceptionally challenging year it has been able to pay down or refinance all of its debt commitments during 2023. From 2024 to 2026 debt maturities remain manageable. Net debt to adjusted EBITDA coverage ratio as of the end of March 2024 was 2.4 times. Following the abrupt depreciation of the Argentine peso in December 2023 with most of the accounts debts in foreign currency while most of the EBITDA is generated in local currency its net debt-to-EBITDA ratio increased temporarily. In March 2024, Telecom requested and obtained waivers from its loan creditors to increase the net debt over EBITDA maintenance ratio above the originally established level raising it to 3.75 times. Among other commitments while the waiver is in effect dividend payments are subject to a maximum of USD 100 million so long as the former net debt-to-EBITDA ratio after September 2024 is up to three times. Next slide please. As the slide shows, once CVH fully canceled its financial debt, we have passed through 100% of the dividends collected from telecom which during the past had been paid in kind. At the shareholders' meeting held on April 30 and in the event that Telecom's Board of Directors decides to pay dividends if the aforementioned conditions are met; CVH shareholders resolved to delegate powers to the Board of Directors in order to reverse in full; or in part the optional reserve for liquid results to distribute dividends in cash; or in kind or any combination of both for us to the total amount that the company is entitled to collect the result of such distribution granting CVH, the flexibility to pay immediately, therefore, avoiding any potential change in valuation of the dividend collected. That concludes our comments. We are now ready to take your questions. Operator?
Operator:
Samantha Olivieri: Thank you, Andre. Thank you all for your interest in CVH. Should you have any questions please do not hesitate to contact our IR team. We look forward to seeing you again for the second quarter 2024 results.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.